Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Sow Good financial results for second quarter ended June 30, 2025. Joining us today are Sow Good Co-Founder and CEO, Claudia Goldfarb; and Chief Financial Officer, Donna Guy. Following their remarks, we'll open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Slach as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Good morning, everyone, and thank you for joining us in today's conference call to discuss Sow Good's financial results for the second quarter ended June 30, 2025. Certain statements made during this call are forward-looking statements, including those concerning our financial outlook, our competitive landscape, market opportunities and the impact of the global economic environment on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are also subject to a number of risks and uncertainties, including those highlighted in today's earnings release and our filings with the SEC. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and our filings with the SEC. Copies are available on SEC's website or our Investor Relations website. Furthermore, we will discuss adjusted EBITDA and non-GAAP financial measure on today's call. A reconciliation of adjusted EBITDA to net income or loss, the nearest comparable non-GAAP financial measures discussed on today's call is available in our earnings press release at our Investor Relations website. With that, I will turn the call over to Claudia.
Claudia Goldfarb: Thank you, Cody, and good morning, everyone, and thank you for joining us today. 2025 marked an important step forward for Sow Good. While we face some near-term operational challenges, we also saw encouraging signs that our innovation strategy, brand resonance and retail partnerships are gaining meaningful traction. What we learned this quarter has only strengthened our conviction in the long-term value of the business we're building and the strategic decisions guiding our path to sustainable growth. Our financial performance was impacted by short-term supply chain and labor constraints that pushed certain shipments until July. I'm pleased to report that these orders have now been fulfilled. It's important to note that these results do not reflect weakness in demand. On the contrary, demand has rebounded nicely, outpacing our current labor capacity. To meet momentum, we have returned to scaling our workforce and supply chain. Our retail partners continue to request new items, validating both the depth of our innovation pipeline and enduring appeal of the Sow Good brand. We've also completed production, packaging and shipping of our entire holiday inventory, giving us the flexibility to stabilize our supply chain and ramp up production more aggressively. While there is still work to do, we have stabilized operations and are moving forward with clarity, focus and competence. With these foundations in place, we're entering the second half of 2025 with greater confidence in our ability to deliver sustained growth. Sow Good remains resilient, well positioned to rebuild momentum and ready to capture growing demand for our brand. So how do we scale from here? By executing with discipline, continuing to drive product innovation and nurturing a strong pipeline of opportunities with both new and existing retail partners. Before I hand it off, I want to very warmly welcome our new CFO, Donna Guy, to the Sow Good leadership team. Donna brings more than 25 years of public company finance experience, including senior leadership roles at ADDvantage Technologies and Basic Energy Services, and she is the founder of Elevation Accounting & Finance. Having worked closely with Sow Good as a consultant over the past year, she already has deep insight into our systems, team and vision. Donna has been such a fantastic addition, and her transition into the role has been seamless. I can't tell you how much easier this transition has been with her leadership. She has a proven track record of driving operational efficiencies, optimizing cost structures and leading through dynamic environments. And we're already seeing that expertise at work. In just a short time, she has strengthened our forecasting, cash management and performance tracking. We are grateful to have her on the team, and I have every confidence in her ability to help lead Sow Good through this next phase as we pursue disciplined and sustainable growth. With that, I'll turn it over to Donna to walk us through our Q2 financials. Donna?
Donna Guy: Thank you, Claudia. It's a pleasure to be here with all of you, and I look forward to making a meaningful contribution to this great company. Now turning to our financial performance. Revenue in the second quarter of 2025 was $1.9 million compared to $15.6 million for the same period in 2024. The decline reflects softer demand, driven primarily by increased competitive pressure with the arrival of large market entrants. Gross loss for the second quarter of 2025 was $0.1 million compared to gross profit of $9 million for the same period in 2024. Gross margin was negative 7% in the second quarter of 2025 compared to 58% in the year ago period. The year-over-year decrease in gross profit and gross margin was largely due to lower sales in conjunction with higher occupancy costs. The increased occupancy costs are related to the larger facility we previously secured, which is partially being used for storing finished goods. As has been mentioned on past calls, we are actively working to rightsize our occupancy needs. Operating expenses in the second quarter of 2025 were $3.9 million compared to $4.1 million for the same period in 2024. The lower operating expenses were due to lower accrued bonus compensation. Net loss in the second quarter of 2025 was $4.2 million or negative $0.36 per diluted share compared to net income of $3.3 million or $0.29 per diluted share for the prior year period. The decrease was primarily attributable to the lower sales in connection with the increased competitive environment. Adjusted EBITDA in the second quarter of 2025 was negative $2.7 million compared to $6.2 million for the same period in 2024. Moving to the balance sheet. We ended the quarter with cash and cash equivalents of $1 million compared to $3.7 million as of December 31, 2024, and $1.6 million as of March 31, 2025. We're approaching the second half of the year with a clear focus, drive the top line growth, improve operational leverage and rebuild from a more resilient foundation of broader customer base and product lines. With our system stabilizing, our retail momentum accelerating and new category opportunities emerging, I'm confident we have the right strategy, the right products and the right team in place to execute. This concludes my prepared remarks. I will now turn the call back to Claudia. Claudia?
Claudia Goldfarb: Thank you, Donna. Looking ahead, our execution is centered on 3 near-term priorities. First, optimizing our cost structure and conserving cash. We've made meaningful progress here. Following Q1, we took decisive steps to rightsize our cost base and the store margin, including reducing excess inventory storage costs and better aligning production with forecasted demand. As a result, G&A and interest expenses are trending lower, and we remain focused on capital efficiency, prioritizing spend that directly supports revenue growth and margin expansion. Put simply, last year, we built ahead of demand and have been scaling back strategically, streamlining storage, optimizing our supply chain and adopting a more efficient demand-driven growth model. As noted earlier, Q2 results were not sequentially higher due to delayed shipments, an issue that was resolved in July. With those orders now fulfilled, we expect the impact to normalize as operations realign in Q3. Second, expanding distribution of our candy products. Demand momentum is returning. The initial heightened surge of interest in competitors' launches are fading and consumers are coming back to Sow Good for the same reasons they always have. Our expertise in freeze-drying provides a superior crunch with bold, creative flavors. In July, we shipped our new Halloween products for Albertsons grocery nationwide. Our partnership with Five Below continues to grow across multiple SKUs, including new innovation items such as cotton candy taffy and seasonal favorites such as terrifying taffy and candy corn taffy in exclusive packaging. We are also seeing steady performance from Winn Dixie with our 10 SKU brand block, Ace Hardware and Orgill showing continued success in the hardware retail category and promising progress with a major national grocer, where we've advanced to stage 3 of their review process. Feedback has been positive, signaling growing retailer enthusiasm and confidence in our expanding footprint. Internationally, we're building on strong early success in the Middle East, where sell-through rates are driving repeat business and SKU expansion into Q4. Given the summer months are the slowest retail months for the Middle East, we are very optimistic about increasing demand beginning in October. The primary challenge remains the speed in which we can secure export health certificates, which we are working closely with our distributor to resolve. Meanwhile, we continue to invest in innovation. Development is advancing on several high potential products, including our in-house Caramel line and a new soft chew version. We're also exploring private label, co- manufacturing and adjacent categories like yogurt melts. Our innovation pipeline is strong and new retail opportunities are actively developing. Finally, disciplined execution to build on regained momentum. The challenges of the past year, they sharpened our discipline. Our teams are moving with urgency, tightening cost controls, driving margin recovery and reinvigorating our go-to-market strategy. With Halloween and holiday shipments complete, we are positioned to fully shift our focus to stabilizing the supply chain and executing on growth. Demand signals remain encouraging, and our retail partnerships, both domestic and international, are strengthening. While the operating environment remains dynamic, we believe the worst of the near-term disruptions are behind us. With operations stabilizing demand continuing to build and new opportunities emerging, we remain committed to our long-term objectives, scaling with discipline, deepening retailer relationships and leading with bold differentiated innovation. Sow Good is built for resilience, and we are very excited about the opportunities ahead. Operator, we will now open the call for Q&A.
Operator: [Operator Instructions] And our first question is going to come from Peter Sidoti with Sidoti & Company.
Peter Thomas Sidoti: Can you just talk to your inventory levels as well as your need for future financing?
Claudia Goldfarb: So from an inventory perspective, we still have quite a bit of finished goods from last year. The good thing about our inventory is that it has a very long shelf life, and we continue to sell through that inventory. There are 2 SKUs that we are working through at a discount, which are the sweetener geeks and sweet worms. So those 2 were moving through discount channels, but the rest is remaining at regular retail and continues to perform well. In regards to what we're going to need from a financing perspective, right now, with our current run rate, we're fine. Once we expand if we want to do further R&D or move into some adjacent categories, then that's something we'll evaluate at that time. But for right now, business is stabilized. Sales are in a good spot for where we are. We still need to rightsize our occupancy costs, but we're actively working through that. And that's where we are with those things.
Peter Thomas Sidoti: How long until your cash flow breakeven at this point, do you think?
Claudia Goldfarb: That's a good question. I would say before the end of the year, but we're making really good progress right now. So from a cash perspective. And Donna, you can speak a little bit to this if you'd like. We're holding steady where we are right now.
Donna Guy: Yes, I would agree.
Operator: [Operator Instructions] Okay. And I am showing there are no further questions in the queue at this time. So I will turn the call back over to Claudia for closing remarks.
Claudia Goldfarb: Thank you, everybody, for joining us today. We feel very positive about the steps that we've taken thus far and where we're going to keep going from here. So I appreciate the time, and have a great day, everyone.
Operator: This does conclude today's conference call. Thank you for participating, and you may now disconnect.